Operator:
Andrey Galiuk: Hello. Good morning, and welcome to Dover's First Quarter 2020 Earnings Conference Call. Speaking today will be Richard Tobin, President and Chief Executive Officer; Brad Cerepak, Senior Vice President and Chief Financial Officer; and myself Andrey Galiuk, Vice President of Corporate Development and Investor Relations. [Operator Instructions] As a reminder, this conference call is being recorded and participation implies consent on recording of this call. This call will be available for playback through May 12 and audio portion of this call will be archived on our website for three months.  Dover provides non-GAAP information and reconciliations between GAAP and adjusted measures are included in our investor supplement and presentation materials, which are available on our website. We want to remind everyone that our comments today may contain forward-looking statements that are subject uncertainties and risks including the impact of Covid-19 on the global economy and our customer suppliers, employees, operations, business, liquidity and cash flow. We caution everyone to be guided in their analysis of Dover by referring to our Form 10-K and Form 10-Q for the first quarter for a list of factors that could cause our results to differ from those anticipated in any forward-looking statement. We undertake no obligation to publicly update or revise any forward-looking statements, except as required by law. With that, I will turn this call over to Rich Tobin.
Richard Tobin: Thanks Andre. Good morning, everyone. We are going to take some sage advice and briskly go through what was a solid first quarter and get straight to where we are from a market demand perspective, and what actions we are taking with our operations, cost structure, and balance sheet to adapt ourselves to this extremely challenging environment. I am not going to read the next slide, but will mention that the urgency and magnitude of the present challenge is not lost on us, and we are working through these times with resolve and a sense of responsibility to our employees, customers, partners, shareholders, and local communities where we operate.  We understand our role as a supplier to many critical societal functions like food packaging and retail, fueling, waste removal, and many others. Moreover, our businesses supply directly into projects aimed at fighting the outbreak such as commercial cleaning, masks, hospital bed and ventilator production, as well as biopharmaceutical therapy development.  Let's go to Slide 4 of the quick summary of the first quarter results. We recognize these results looking into the rearview mirror. Given the pace of change in the last few weeks, rest assured that despite solid Q1 results, we have zero complacency given the progressively challenging outlook into Q2.  To sum up Q1, our ability to remain largely operational coupled with the work we did in our cost structure and productivity initiatives more than offset the beginning headwinds of Covid-19 which largely impacted our businesses in China and Italy in the quarter.  Let's go to Slide 5 and briefly look at segment performance. Engineered products organic sales declined 2% as demand in auto exposed businesses had slowed down. The vehicle aftermarket business also experienced operational interruptions in our China and Europe based facilities. Waste handling continued to grow up with strong backlog. Digital sales in the waste business were up nearly 2x on a year-over-year basis. Pricing cost containment in response to lower volume as well as productivity actions resulted in a 100-basis-points higher adjusted EBIT margins for the segment. Moving out the Fueling Solution, saw robust activity in North America driven by demand for EMV compliant solutions, whereas Europe and Asia declined due to COVID- related production and supply chain interruptions and project deferrals. Additionally, manufacturing in our vehicle wash segment in the US was shut down in March due to local government mandates. Segment delivered 500 basis points margin improvement as a result of favorable geographic and product mix, productivity actions and cost controls, as well as pricing. Imaging and ID declined organically 4% in the quarter. Marking and Coding was approximately flat, and strong demand for consumables due to surge in production volumes of consumer goods in March, which offset the challenging additions in Asia in Q1. Our digital textile printing business had a difficult quarter as all of our operations are in the Lombardy region of Italy, which bore the brunt of the COVID-19. This was further exasperated by the sudden and significant impact of the crisis on the global textile and apparel markets. Margin in the segment declined only 80 basis points as our cost containment actions and favorable mix impact of consumables largely offset the significant volume drop in our digital printing business. Pumps and Process solutions topline declined 1% organically. Strong performance in our hygienic and biopharma pumps as well as in plastic and polymer systems and components largely offset slowing market conditions in industrial pumps and downstream oil and gas complex. The segment delivered another quarter of strong margin improvement, driven by cost containment and restructuring actions, as well as pricing more than offsetting negative impact of Covid inflation and FX translation. And finally, Refrigeration and Food Equipment, organic sales declined 4% primarily driven by weaker demand for heat exchangers and food service equipment, both as a result of governmental actions to combat the Covid around the world. Core food retail business declined less than 1% as grocers began to postpone remodel projects later in the quarter. Segment margin declined due to Covid-related production curtailments in Asia and in Europe, in SWEP as volume reduction in food equipment. From there, I'll pass it on to Brad.
Brad Cerepak: Thanks Rich. All right. Let me go to Slide 6. On top is the revenue bridge. As you will know FX was a meaningful headwind in Q1 reducing top-line by 1% or $23 million driven primarily by the dollar appreciating against the euro and also Brazilian, Swedish, and Chinese currencies. Bookings were up 1% organically and were similarly negatively impacted by FX and positively supported by acquisitions. Performance by geography unfortunately reflects the quarter's coronavirus outbreak around the world. All of Asia declined 19% organically; while within Asia, China posted a 36% decline due to significant mid-quarter disruption. Europe was down 7% principally driven by Fueling Solutions and Engineered Products. US, our largest market grew 4% organically with four out of five segments posting organic growth. We expect Q2 to reflect a year-over-year drop in demand in the US and Europe as Covid expanded into April. Also, we're watching cautiously for relative stabilization in China, although startup has been slow in some markets. Let's go to the earning bridge on Slide 7. I'll refrain from going into detail on these bridges for the quarter with three of five segments posting triple-digit basis margin improvement further helped by reduced corporate expenses. In addition to cost actions, margins were generally supported by mixed pricing and impacted negatively by first and foremost lower volumes, inefficiencies associated with operational disruption, FX, and inflation. Outside of steel and fabrications, which started to trend positive, we have seen material cost inflation in the quarter. Now on Slide 8. Cash flow is top of mind as we move into Q2. We're pleased with the first quarter cash generation with free cash flow for the quarter of $36 million, a $48 million improvement over last year. Recall the first quarter is traditionally our lowest cash generating quarter and typically shows negative cash flow. Our teams have done a good job managing free cash flow more actively in this uncertain environment and we expect to continue to proactively manage working capital into the second quarter. Capital expenditures were $40 million for the quarter slightly increased versus comparable period as we continue to execute our in-flight growth and productivity capital projects started in 2019. Most of these projects are slated for completion in the second quarter. Lastly, let me update you on our financial position on Slide 9. We believe Dover's financial standing is strong and positions us well to navigate the unfolding period of uncertainty. First, we have been targeting a prudent capital structure and our leverage at 2.2x EBITDA places us comfortably in the investment grade rating with a margin of safety. Second, we don't have long-term debt maturities until 2025, thanks to the refinancing effort we undertook in Q4 last year, which shifted out the maturities and reduced our interest expense. Lastly, we are operating with approximately $1 billion of current liquidity, which consists of about $500 million of cash and another $500 million of unused revolver capacity. We drew $500 million of our revolver in the first quarter out of abundance of caution when commercial paper markets experienced volatility in late March. Proceeds were used to principally pay off maturing commercial paper. We are back in the commercial paper market in April and will use cash from the program to potentially pay the revolver, if conditions remain stable. So in summary at this time, we expect free cash flow to remain strong for the company as we move into the second quarter. With that I'm going to pass it back to Rich.
Richard Tobin: Okay. Let's try not to put each other on mute. Sorry about that, Brad. And let's go on to Slide 10. Since we've suspended full year guidance, we'll dive deeper into current trading conditions and our actions over the next few slides. Slide 10, we will cover the current demand outlook as of mid-April and projected status of our operating footprint for the quarter. First, Engineered Products. As previewed in our Q1 results, industrial automation and vehicle aftermarket, as well as industrial winch markets are slowed and continued trending weak with material deceleration in March after positive January and February. We are taking capacity management actions in Q2 across these businesses to right-size our cost and working capital. Waste handling continues to be constructive as our waste municipal fleet customers operate as essential businesses and are seeing large increases in residential volumes, which are more truck intensive. In Fueling Solutions, fueling solution is a bit of a bright spot. Ordered trends have been robust on US EMV and the business saw good trends in March with some sequential slowing in April. Customer base is operational as retail fuelling is generally considered essential business worldwide and record high fuel margins on low oil price help operators offset the reduction in volume and traffic. On the downside, transportation of vehicle wash markets is likely to see delays in capital outlays during this near-term uncertainty. We are largely up and running in the segment except one vehicle wash facility in Michigan and a few smaller dispenser sites in Brazil, Italy and India. In Imaging and ID, digital textile printing will be challenged in 2020 as fashion and apparel markets deal with an unprecedented shutdown of apparel, retail globally. Marking, coating is held up in Q1 with strong orders in February and March. And we expected to be relatively resilient at 40% of the sales are driven by consumables tied directly to current production volumes in fast-moving consumer goods, which surged in Q1 and should sustain as consumers shift to home-based consumption of packaged goods. Parts of this business are not immune notably industrial end markets and printer and sale, service sales as our customers delay plan maintenance due to peak utilization or visitation and/or travel restrictions. We expect to recover such delayed sales at a later time. We are progressing with the integration of Systech which is responsible for the majority the backlog increase if we see in the segment. In Pumps and Process Solutions, while we are seeing sequential slowdown in the oil and gas market served primarily by our precision components business, trends appear constructive in military, chemicals, food and beverage, power generation and some industrial verticals, while biopharma and hygiene are areas of strong growth. Mod plastics and polymer equipment has not seen material project cancellation and continues operating with a solid backlog that equates to nearly half of their annual revenue base. We have a substantial spare parts business in this segment and large share revenue is derived from consumables or installed base replacement versus first fit capital construction. These should be supportive factors. And in retail and refrigeration and food equipment, this segment is facing the largest near-term demand headwind in our portfolio and its spread across several businesses within the segment. In the core food retail business, orders trended positive in February and March, but starting in March many retailers are forced to postpone remodeling and construction projects due to peak traffic volumes, local restrictions and inability of contractors and technicians to gain site access. The backlog in this business is solid, but the shipment timing remains uncertain. We expect that increased wear and tear of store equipment will result in a surge of volume of a frozen refrigerator products being sold will create substantial pent-up demand and we will be well-positioned to capture the rebound when it comes. Overall, we expect several quarters of mix to potentially variable performance in this business. Our Heat Exchanger businesses face both operational disruptions in Asia and demand reduction in HVAC industry globally, with material sequential slowing in March. Backlog is improved in the quarter, but we do see uncertainty here as we must wait for our customers to come back online. Our commercial food service business is facing significant demand challenges in the restaurant segment only partially offset by opportunities in the institutional market. It's no hiding here; March has seen unprecedented decline in order trends will manage capacity aggressively through the year with significant curtailments already begun in Q2. Let's go to the next slide. We have taken a proactive cost containment stance early in Q1. As you can see our SG&A cost has declined in absolute terms in Q1 mainly driven by travel curtailment and lower incentive compensation costs. And a quantum of these actions accelerates in Q2 which I'll cover on the next slide. We are progressing on our $50 million center led cost out program as planned with $13 million achieved in Q1 primarily from IT and a variety other cost items. For clarity sake, the charts are not fully additives at both include SG&A as you can see from the footnote. On the cash flow side, we are cutting CapEx in light a demand environment. We view $100 million as committed in non-discretionary spend, which shows you we have additional flex we have should the downturn be deeper and longer than expected. We carry over $1 billion of working capital in the business, which we scale down with revenue or better primarily driven by inventory management. After all that, let's get on to the most important slide in the deck, let's not sugarcoat this. Q2 is going to be tough despite a healthy backlog; we will be a curtailing or adjusting capacity down across a large proportion of our portfolio companies driven by the following. In some locations government mandates prevent us from operating. You can see in the business that this impacts the most. In several end markets that I touched on earlier, weak demand warrants curtailed capacity.  In food retail, we expect a significant portion of our backlog to shift to H2 as retailers continue facing operational challenges in executing their project as a result of heavy traffic and inability of contractor access. And in category four is driven by proactive working capital management and hedge against weaker demand environment and forecast. We have capacity to catch up the deferred production in the second half. In addition to the loss margin on lower revenue, these capacity reductions and curtailments will cause year-over-year comparative material fixed cost under absorption of approximately $35 million to $40 million in the quarter. We estimate that our variable cost reduction levers and flow-through on inflate programs will positively contribute approximately $65 million in the quarter, which would take you back to the previous slide of the offsets that we had in Q1.  On the cash flow side, we expect inventory management to contribute positively in the quarter. We do intend to pay the dividend of schedule in June and we'll fund both of the bolt-on acquisition of Em-tec in Q2. So to wrap up, let's put some directional guideposts out there for the year in the absence of formal guidance. The year can unfold in with a variety of different scenarios, but it will almost certainly be negative revenue change of yet unknown magnitude. We will focus on what we can control best our costs. We target full-year decremental margin of 25% to 30% of which we have a variety of actions to offset volume under absorption. You saw a glimpse of the levers in the prior two slides and we prepared a full arsenal of actions for the remainder of the year. On the cash flow side, we will reduce our capital spend with flexibility to defer more. We are targeting cash flow conversion in excess of a 100% of adjusted earnings for the year. We have suspended our share repurchases, but intend to continue paying a dividend and lastly our M&A posture remains opportunistic.  We will continue pursuing logical bolt-on acquisitions at rational valuations. In summation, I want to thank everyone at Dover for their perseverance in these difficult times. And let's open it up to Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Jeff Sprague with Vertical Research.
Jeffrey Sprague: Thank you. Good morning, everyone. Hope everyone is faring okay through this situation. Richard, I missed the first 15 minutes or so of the call, but I'm just wondering a couple of things. Your comment on refrigeration and the difficulty getting jobs done. Are you seeing any other situations where it's the opposite? I mean fueling comes to mind, where there's less traffic at the gas station, perhaps it makes sense to actually accelerate and get some of this work done if the capital has already been budgeted. That's the first question. I just have a follow up.
Richard Tobin: Okay. Well, the first question, I can't answer it any better than the way you stated it. I mean the fact of the matter is that on the retail fueling side, that's outdoor work, so there's more flexibility, and it is an industry that is I forget what they describe them as is important, I guess or essential. So we've seen obviously no slowdown or any real material issues in terms on the retail fueling side. And on a refrigeration side, it's more indoor work, and because of traffic restrictions and everything you see in the supermarkets going on, I think it's understandable what's happening there.
Jeffrey Sprague: Then just to be clear on what you're saying on restructuring. So you're not increasing kind of the $50 million bucket so to speak, but you're doing these other actions on variable costs, G&A, and the like. Is that correct or are you actually stepping up restructuring and what's your scope to pull forward actions you may have had on the table for 2021 and beyond?
Richard Tobin: Okay. Well, the $50 million is solid. So, you saw the benefit, I think it was $13 million in Q1. We expect that to be relatively even through the four quarters of the year. If you want to do the mathematics -- the balance of it is not restructuring, it’s cost containment actions of variable costs, and unfortunately the direct labor costs of when we're furloughing and curtailing our operations. So, I wouldn't put in the restructuring bucket because it's more volume related as opposed to permanent cost takeout.
Jeffrey Sprague: And then, maybe along those lines. Other things that are not going to come back with volume recovery. There's other things you're doing in corporate or your view on travel in the future those sorts of things or should we expect all those kind of volume related savings to also swing the other way when we do get on the good side of this thing? 
Richard Tobin: Hard to say. I think what happens with travel going forward from here, but I would expect that 2021 would probably be lower than 2019. If you give every -- if you want an opinion on it, we are as we mentioned that we -- when we establish the $50 million for this year that we're building up plans for another $50 million for next year, we’ll see how we progress on that because the fact of the matter is with everybody at home; working on some of our productivity plans has become a little bit difficult. And we've really had to turn the turret here to deal with immediate cost actions as opposed to longer-term ones. So I understand your question. I think let's get further into the year and I think that we can probably put some brackets around that.
Operator: Your next question comes from the line of John Inch with Gordon Haskett.
Ivana Delevska: Good morning, guys. This is Ivana Delevska on for John. So I just wanted to clarify so the fixed 6% SG&A cut that would be incremental to the $50 million of cost cuts, and could you give us a sense of how much would that be in Q2 and Q3? And how are you thinking about it versus the volume decline?
Richard Tobin: I would turn your attention to slide 12 in the bottom left-hand corner of the presentation that we posted, where it gives you our cost actions for Q2. We're not going to comment on Q3 yet. Let's see how Q2 presents -- progresses. Other than the fact that the $50 million of structural costs take out, you can divide by four if you want to model it into quarters.
Brad Cerepak: And just for clarity, as we said on the chart, the $50 million is inclusive in the 6% down.
Ivana Delevska: The $50 million, okay. I get. Okay and then one follow-up. Could you give us a breakdown of your fixed versus variable cost structure ideally for SG&A?
Richard Tobin: It's not a meaningful metric in consolidation. If there's follow-up question because the operating companies are so different in their profile, I think I recommend that you get back with Andre for some follow-up questions there.
Operator: Your next question comes from the line of Scott Davis with Melius Research.
Scott Davis: Hi. Good morning, guys. I know it's early but is it impossible to think about -- start thinking about M&A here and particularly perhaps if there’s distressed assets like food equipment, stuff like that.
Richard Tobin: It's not impossible to think about it. Distressed assets are really, I don't know, if that's our bailiwick. I'm not taking it off the table, but if we were to go kind of what the timeline is in situations like this, the first things that come available are distressed assets. Everybody's going to hold on for a V-shaped recovery to see if what happens to asset values of some of the things that we were looking at last year. So, our expectation is what we'll see early on are going to be distressed. It's going to have to be really attractive for us to pursue something like that, Scott.
Scott Davis: Yes, and just that and if you said it, I apologize it in here, but how much down are the food equipment business orders? Is it magnitude like 90% or something? Extraordinarily high number like that or --? 
Richard Tobin: Yes. We didn't size it during the comments but it its very material.
Operator: Your next question comes from the line of Joe Ritchie with Goldman Sachs.
Ronny Scardino : Hi. Good morning, guys. This is Ronny Scardino on for Joe Ritchie. So just first some restructuring, curious does the backdrop make it easier for you to execute on rolling out Dover business services faster to operating companies? Thanks and just one follow-up.
Richard Tobin: Well, I think that anytime that you go into a situation like this that it heightens everybody's focus on cost structure for sure. But having said that implementation becomes more difficult with the stay at home. So it's a little bit more difficult. As I mentioned in my comments about deploying some of the people around to our businesses to start working on that. But having said that in part of our year-over-year cost savings DBS is a foundational pillar. So we don't expect it to slow down at all going into the --going through this year. And your next question.
Ronny Scardino: And then where across your portfolio do you think there could be more resilience in this downturn?
Richard Tobin: Well, I think if you go back and you look at the slide that we prepared on slide 10 gives you the best window of how the business is performing both from a demand point of view and what our operational stance is. I think that should answer your question. That's more granular than generally speaking we give an entry year comments.
Operator: Your next question comes from the line of Julian Mitchell with Barclays.
Julian Mitchell: Hi. Good morning. Maybe just help us understand what's happening in fueling solutions. The extent to which that Q1 bookings number, the strength was maybe something of a blip. Have you seen much in the way of push outs or cancellations around US EMV investments or you expecting those to occur? 
Richard Tobin: We have not and right now we don't expect. We expect some slowing in Q2 because we had to curtail our US operations at the beginning of April, mostly due to the Covid issue where we had to shut the plant down. Otherwise we would be up and running on the above-ground side based on the backlog that you can see.
Julian Mitchell: I see. So on the demand front, you haven't seen too much disruption in the US even with miles driven collapsing and so forth?
Richard Tobin: No. I mean I think that as we mentioned that at the close of last year, we said that there was one area with potential upside, it would be that EMV adoption has actually been accelerating into Q4 and that it continued into Q1 unless that stance changes. We don't have any reason to believe for a material slowdown. Now it's not going to be absolutely the same quarter by quarter. It's going to move based on orders, order intake and everything else, but right now we go into the quarter with a robust backlog. I think it will have less production performance in Q2 but that's on us only because we've had to take the sites down as I mentioned.
Julian Mitchell: Thank you. Then my second topic would be around the DII segment. There is a very large amount of European demand exposure in that business. Maybe just help us understand how the short cycle trends in European DII or that segment globally. How have those been trending in the very recent past?
Richard Tobin: Well, I think that we need to split that business between the printing and ID and then the textile side. The textile side is under enormous pressure. So much so that I would expect that is going to have a difficult full year, just what's going on in retail operations on textile demand? On the printing and ID side, it had a good quarter including Europe because of fast-moving consumer goods production and the amount of consumables that we are shipping. It's difficult in terms of the actual printers themselves and on the maintenance side, but as you may recall that was a business, a business that we expected to have a significant improvement in year-over-year productivity because of management cost actions taken in Q4.
Operator: Your next question comes from the line of Andrew Obin with Bank of America. 
David Lane: Good morning. This is David Ridley-Lane on for Andrew Obin. What's been your experience on sort of the recovery in this pie chain and then the early demand recovery in China?
Richard Tobin: We have, I would say not material issues in our own supply chain side. I think that had manifested itself earlier in Q1 when China was down. It took a little bit for the freight side of it to unlock. We have some challenges but they're not insurmountable and our comment and China is recovering, but it's a slow recovery in terms of the demand function.
David Lane: And then on the potential for other curtailment during this quarter just sort of trying to understand how large or meaningful that could be in terms of the margin impact as you think about it.
Richard Tobin: Well, I can't give you more information than we gave on slide 12 right; the curtailments are going to cost us between $35 million and estimated between $35 million and $40 million of fixed costs absorption alone. So that should give you an idea of the significance of the capacity curtailments we're going to take out in Q2. So I'm not going to size it more than that, but we are going to manage this business not hoping for, we're not burning down relative strength and backlog in Q2. We're going to make some bets on the linearity of the demand and in certain cases actually proactively cut production to manage the working capital impact.
Operator: Your next question comes from the line of Nigel Coe with Wolfe Research.
Nigel Coe: Thanks. Good morning. Can you hear me, guys? Look, I apologize if some these questions may not be full, I'm trying to manage two calls here, but what, have you addressed free cash flow, Rich, in terms of expectations for the full year and sources of cash from working capital and how that plays out through the year? So just wondering, obviously, no earnings guidance right now but how do you expect cash to perform versus earnings?
Richard Tobin: If you go we would take a look at the deck that we posted on 13. We expect free cash conversion to be a 100% of adjusted net earnings for the full year of 2020. And that is going to be influenced by depending on market conditions, liquidation of the balance sheet.
Nigel Coe: Okay. And would you expect that to be a bit more backend loaded to liquidate that balance sheets or do you think that's got to be bit more Q2 along with --
Richard Tobin: Well, you know what let's think positive for a moment not as backend loaded as in previous years because hopefully we're beginning to ramp up production in the second half of the year. So it may be a little bit more inverted because we're cutting production mid-year, which we generally are not that's usually what our highest capacity utilization is. So we expected to be more cash generative from a working capital point of view in the middle two quarters and let's think positive about Q4 and hopefully we're ramping up production in Q4. 
Brad Cerepak: And if any of you missed it earlier, we did take down our CapEx spending expectation for this year and as it says here on page 13, there's further flex there as well. So in our prepared comments we talked about our ability to continue to manage our free cash flow through this year with an expectation that we're going to deliver 100% against adjusted earnings. So how that falls out will depend on how fast we liquidate across the balance sheet right.
Nigel Coe: Right. Thanks Brad. Thanks guys. I did see the CapEx. So I'm not completely blind but in terms of pricing you did point 7% pricing this quarter. Just wondering if you can maybe just give the color in terms of what you've seen across portfolio on pricing? And if you have any concerns that maybe pricing has deflation towards the back half of the year. 
Richard Tobin: I think that we are concerned about it, but we haven't seen any kind of crazy pricing in the marketplace as a general comment.
Operator: Your next question comes from the line of Andy Kaplowitz with Citigroup.
Andrew Kaplowitz: Hey. Good morning, guys. Rich just like following up on [Indiscernible] and just sort of the progress you made there with the automation project? And talking about the second half of the year with respect, I think sort of talking about the comment you made, you expect some mixed results in the business but obviously stronger demand, so how does that seen over time. So you've got a good backlog. Has been all sort of going together here as you go into the second half of the year? I think you start strong [bel vac] which is good margins. So I guess instead of continuing to ramble can you still do that mid-teens margin in this business or is it just tougher because of the mixed demand environment.
Richard Tobin: The answer is, Andy, I don't know yet, right. At the end of the day, we've got a backlog in the refrigeration business that we could run out in Q2 and get all the production performance and do decently on margins in advance of the automation benefit which is in the second half of the year. But based on the signals that we're getting from the marketplace and the inability for our customers to actually do these projects, we are proactively taking down production. It's down now as a matter of fact in our principal sites because it just doesn't make sense to get the production performance and build all the inventory, right. So we'll see in the back half of the year. We believe that there's pent-up demand in this business. It's unfortunate because this was the year where we were hoping to kind of turn the corner and this Covid messes has really put a nail through it. So over the longer term, we're going to continue to work on the automation, so that doesn't stop. It's very difficult for me to say we're sitting here today what happens with the demand function meaning did we just lose a quarter here and that volume is going to bleed over into 2021. It's hard to say at this point, but I think it's better than even bet. On the balance of the portfolio, sure, a bel vac as we said was going to be second half loaded. And we believe that to be the case. The ones that are more difficult to predict right now is SWEP which is if there's been some earnings releases out HVAC already. So you know what's going on there. The industrial footprint of HVAC in Europe has been largely down during the month of March and into April. So we need that to come back so we can resume deliveries. And in food equipment, I think that we're just going to have to retrench for a period of time until all of this lockdown goes away because of the detrimental impact on the restaurant business.
Andrew Kaplowitz: Rich, that's helpful. And I didn't hear your comments on engineered products, but maybe you can sort of talk about obviously lot of businesses in there. So how is the for instance VSG doing in the sense that it seems like it more difficult business in this kind of environment, Covid impacted, so you've got a lot about half of that business that's auto focused in some ways. So maybe talk about some of the difference between that business versus waste handling and how the overall retailer business is doing. 
Richard Tobin: Look, at VSG being objective had a significant portion of the production shut in Q1 in Italy. So the performance in Q1 from a margin point of view was excellent. But having said that it is not those repair shops and everything else are not critical industries for the most part. And are dealing with this whole stay at home phenomenon. So I think the management is proactively taking down production in VSG into manage its working capital itself. But having said that that's aftermarket business. It's basically miles driven and everything else so we would expect that to not be bad in the second half. That's our expectations right now. Some of the smaller businesses like winches, as far as winches and things like that that's kind of, that's more tied to capital goods and that's going to go through a tough year.
Andrew Kaplowitz: Got it. And on the waste handling side relatively I mean you saw good backlog there.
Richard Tobin: Backlog is good. I think that we're going to manage our capacity down in Q2. As I mentioned about burning down backlog until you get a line of sight. I expect that business to perform well this year, but I think we're going to take production performance down comparatively a little bit in Q2.
Operator: Your next question comes from the line of Patrick Baumann with JP Morgan.
Patrick Baumann: Hi. Good morning, guys. Thanks for taking my questions. Real quickly on the curtailments for the second quarter. The 10-Q mentioned that 7% of your major global facilities are shut completely as of April 17th. And 11% are partially closed or at lower capacity. And I know it's tough but is that a reasonable way to think about second quarter organic sales down maybe low double-digit or could it be much worse than that for any reason? Like is there a big destock in the channel that would impact you kind of more than what we're seeing in industrial production. Like it just curious any color you could provide on that.
Richard Tobin: Yes. That's a good collage try to get Q2 revenue. Look, clearly the deteriorating conditions at the end of Q1 would say that they, and the fact that we came out and said I think on one of the first bullet points that we expect Q2 to be the most difficult quarter of the year when imply that revenue is going to be down exasperated by the fact that we're going to cut production so significantly. But I'm not going to size it for you.
Patrick Baumann: Okay. And on the free cash flow maybe. Could you mention, I mean, we talked about CapEx coming down and you're managing working capital in a few different areas. And then the filings also indicate something about tax payments being pushed out. Maybe if you could address sustainability of the actions you're taking and how we should expect some of this to revert on the other side when things get better? Like if the CapEx cut just the deferral of certain things that all come back. 
Richard Tobin: I think that the demand environment would have to change in excess of our forecast for the second half of the year for the CapEx to come back. So in a certain way I hope that we have to re forecast CapEx backup at some point during the year, but unless the demand environment changes more than our forecast to the positive, I expected not to come up.
Brad Cerepak: Yes and the cash flow on the deferrals. I mean I think every company is going to see that type of activity related around the act. So it's not a major number. It's not a big number, but it is something and just speak there's also even on your personal taxes there's deferral of timing, but it's still within a year. So there's going to be some aberration on that but nothing that changes our view on free cash flow for the year.
Patrick Baumann: Okay and then just, sorry to follow up that first question since I didn't really get an answer. The schedule curtailments, you said $35 million to $40 million of reduction in fixed cost absorption and then underneath that on slide 12 it says $50 million of offset actions on controllable costs, so is the net number then a $15 million, my taking the 50 minus 35 to 40 to think about the year-over-year impact. Like so you're fully offsetting those curtailment hits.
Brad Cerepak: Yes. At the end of the days what's the revs down, you still got to come up with it. That's the number you're missing there. So the fixed cost absorption will offset.
Patrick Baumann: Yes. 
Brad Cerepak: But you lose income on the revs down obviously, right.
Patrick Baumann: Yes. Understand. Okay.
Brad Cerepak: Back -- plan, so that's a point in time. That changes everyday. So you're trying to interpolate something there. I mean I think if we update that a week from now it'll be a different number either up or down depending on what the situations in facts are in any geo around the globe.
Operator: Your next question comes from the line of Deane Dray with RBC Capital Markets.
Deane Dray: Thank you. Good morning, everyone. Hey, Rich, I know it's still early but I was hopefully you could look ahead and talk about what you think might be some of the secular changes from the pandemic and how it would impact Dover's businesses? Any specifics come to mind. We've heard some general commentary about more reshoring, I'm not sure that makes sense may be carrying more buffer inventory. But how do you think these changes the structure of the organization and some of the emphasis on working capital and so forth.
Richard Tobin: Yes. I think, Dean that we, Dover are made up by a collection of medium-sized companies that don't really have the longest supply chains. So I think that some of the anecdotal comments about what's going to happen from bigger vertical industrials really don't apply to us to the extent that there is reassuring in a certain way I hope so because that's to our benefit in a lot of cases for some of our components businesses.
Deane Dray: But then on Dover specifics, do you see any longer-term changes in retail fueling on like a commuter behavior as well as the supermarkets may be shifting to more warehouse type operations for food delivery. Anything on those fronts. 
Richard Tobin: Not anything different than we would have thought going into this crisis. No. I think that I don't think there's anything secular other than what we've been always watching at the end of the day. And I would argue that the least on the food retail, we would think that we're turning the corner, that it's more in our favor going into the future, but we'll see.
Deane Dray: Got it. And just last one for me. No surprise that you maintaining the dividend. And maybe you just expand on the buyback decision on stopping for now. How much of that is in a consideration of liquidity preservation? Are you influenced at all at some of the political backlash that's associated with buybacks here?
Richard Tobin: It's all liquidity. 
Deane Dray: Thank you very much.
Richard Tobin: And when we get to these next few quarters what hopefully that everything's fine. And then we can go back to a capital returns.
Brad Cerepak: We just think it's a smart thing to do, right.
Operator: The last question comes from the line of Mirc Dobre with Baird.
Mircea Dobre: Great. Thanks for squeezing me in. Good morning, guys. Rich, I want to go back to the disclosure you provided on slide 6 where you talked about the geographic detail. And just sort of big picture wondering here I mean this whole Covid issue started in Asia started moving westward from there hitting Europe impacting the US now. When you sort of look at your business is it fair to expect that the US could be following a pattern similar to Europe or maybe even down the line your Asia business in terms of growth? Or do you think that there are some particular offsets in your business mix or operations that would make US look different than the other geographies?
Richard Tobin: I would think that it will follow the same pattern, but I'd be careful about using the quantum of the percents only because of our participation in different regions like a law of small numbers. But without question and we were talking way we put the slide together, it's like you can almost watch this Covid-19 travel the world and we would expect that with the lockdowns that we had late in Q1 that are in exist today that that same pattern would come to the US or North America. 
Mircea Dobre: So sorry to pressing on this but I'm trying to understand if Europe right now is a better benchmark for finalizing US business maybe Asia not.
Richard Tobin: You can't only because the numerator and the denominators are all different. So you have to be careful about just using the percentages and saying, well, which one should I pick the 19 or the 7. 
Brad Cerepak: Yes. It's, as we talked about even the fueling business in the US is shown strength and continues to show strength. So it's not the same in every geo in terms of -- 
Richard Tobin: And I go back to the comment I made before. Make no mistake; Q2 is going to be tough.
Brad Cerepak: Right. 
Richard Tobin: Right. And that's why intervening on the production base, so I mean what element you can put on it, but it's going to be a different. 
Mircea Dobre: We all understand that we're just trying to do our best from the outside to try to get a numbers as close as we can. And sticking with fueling here, your orders were up nicely; your backlog is up nicely as you sort of think about your business versus the initial expectations that you set up for the year of being up 0% to 2%. I'm just sort of wondering what has worked out different than your expectations then where do you think we are right now in terms of the EMV upgrade cycle in terms of penetration. Thanks.
Richard Tobin:  What we haven't had the time to run those penetration numbers. I think when we put the forecast together for 2020 we said, if there was one segment that we thought had some upside, it was going to be fueling solutions because of the order trends that we saw in Q4 about EMV adoption. Clearly, that is held in Q1. So it's better than we would expect but it was within the window of our forecasts. But as you know, we've always been, we spent a year trying to push this adoption rate out and now it seems to be accelerating whether that holds through the year, I hope so, but we'll see. But that's what's driving the backlog.
Mircea Dobre: No. I understand that part. I'm just wondering if we're in the third, the fifth or the seventh inning of this adoption cycle. 
Richard Tobin: I don't know. I don't know. Like I said it, we haven't had time to, with everything that's going on we haven't in time to size it from a total market and as we've said numerous times from a revenue point of view, it's all over the map depending on whether you're doing full dispensary units or just kits.
Operator: Thank you. That concludes our question-and-answer period for Dover's first quarter 2020 earnings conference call. You may now disconnect your lines at this time. And have a wonderful day.